Operator: Welcome to the Immersion Corporation Second Quarter 2012 Earnings Conference Call. (Operator Instructions). This conference is being recorded today, Thursday, 2nd of August, 2012. And now I would like to pass the call over to Ms. Jennifer Jarman of the Blue Shirt Group. Please go ahead, ma’am.
Jennifer Jarman: Thank you. Good afternoon and thank you for joining us today on Immersion’s second quarter 2012 conference call. This call is also being broadcast live over the web and can be accessed from the Investor Relations section of the company’s website at www.immersion.com. With me on today’s call are Vic Viegas, President and CEO and Paul Norris, CFO. During this call we may make forward-looking statements which may include projected financial results or operating metrics, business strategies, anticipated future products, anticipated market demand or opportunities and other forward-looking topics. These statements are subject to risks, uncertainties and assumptions. Accordingly, actual results could differ materially. For a listing of the risks that could cause this, please see our latest Form 10-Q filed with the SEC as well as the factors identified in today’s press release. Additionally, please note that during this call we may discuss non-GAAP financial measures. For each non-GAAP financial measure discussed, a presentation of the most directly comparable GAAP financial measure and a reconciliation of the differences between the non-GAAP financial measure discussed and the most directly comparable GAAP financial measure is available in the company’s press release issued today after market closed. With that said, I’ll turn the call over to Chief Executive Officer, Vic Viegas. Vic?
Vic Viegas: Thanks Jennifer and thanks for joining us this afternoon. Our revenues for the second quarter were 6.5 million lower than anticipated. However, due to our continuing cost management efforts, our net loss of 2.2 million or $0.08 per share was within our expected range. Revenues from royalties and licenses were roughly flat year-over-year as the number of phones infringing on Immersion's technology continue to accumulate, deferring our ability to fully participate in the dramatic growth of haptics within smartphones and applications. At the same time, we demonstrated continued progress during the quarter with our higher ASP generating rework technology now shipping in Samsung's flagship Galaxy S III phone. The launch of new haptic enabled titles from top tier applications developers, the cultivation of new standard and high definition haptics compliant components with our ecosystem partners and growing momentum for haptics within the automotive space. In a few minutes, I will discuss our recent business development and provide and update regarding our guidance. But first, I'll ask Paul to provide a more detailed review of our financial results for the second quarter. Paul?
Paul Norris: Thanks Vic. Revenues in the second quarter of 2012 were $6.5 million down 3% compared to revenues of 6.7 million in the year ago period. Revenues from royalties and licenses of 5.9 million were roughly flat with the second quarter of 2011. Revenues from product tails were 344,000 compared to product tails of 546,000 for the second quarter of 2011. While revenue mix per line of business is expected to fluctuate on a quarterly basis due to seasonality pattern, in the second quarter of 2012, a breakdown by line of business as a percentage of total revenues was as follows. 47% from mobility, 27% from gaming, 13% from medical, 7% from auto and 6% from chip and other. These percentages are based on total revenues including revenues from royalty and licensing, product tails and development contracts. Gross profit was $6.3 million or 97% of revenues compared to gross profit of $6.4 million or 96% of revenues in the second quarter of 2011. Cost of revenues in the second quarter was $214,000 compared to $247,000 in the second quarter of 2011. Excluding cost of revenues total operating expenses were $8.6 million in the second quarter of 2012 compared to 7.5 million in the second quarter of 2011. This includes non-cash charges related to depreciation and amortization of $554,000 and stock based compensation of 818,000. Excluding these non-cash charges, OpEx was $7.2 million during the quarter compared to 6.0 million in the second quarter of 2011. OpEx in the second quarter of 2012 also included litigation related costs of $1.5 million. We expect litigation expenses to trend slightly above this level during the second half of the year and are modeling OpEx excluding non-cash charges to be in the 7.5 to $8 million range per quarter moving forward. As you know, in addition to normal GAAP metrics, we use a metric called adjusted EBITDA to track our business. We define adjusted EBITDA as earnings before interest, taxes, depreciation and amortization less share based compensation. Adjusted EBITDA in the second quarter of 2012 was a loss of $938,000 compared to positive adjusted EBITDA of $442,000 in the second quarter of 2011. Net loss for the second quarter of 2012 was $2.2 million or $0.08 per share compared to net loss of $1.3 million or $0.05 per share in the second quarter of 2011. Our cash portfolio including cash and investments was $52.4 million as of June 30, 2012 compared to 56.3 million at the end of 2011. Cash use during the quarter was $5.2 million. This primarily reflects expenditures on our patent litigation as well as activity within our stock repurchase program. In the second quarter we repurchased 387,288 shares of our common stock at an average cost of $5.29 per share for a total of $2.0 million. As of June 30, 2012, we have 23.1 million remaining under our authorized stock repurchase program. With that, I'll turn it back over to Vic.
Vic Viegas: Thanks Paul. Today we announced that Fujitsu launched the world's first smartphone with Immersion's HD Haptics. The Raku-Raku F-12D uses Immersion's TouchSense 5000 software to control a high fidelity piezo actuator along with our Integrator product to create a consistent high quality haptic experience throughout the interface. Immersion's HD Haptics has the fastest response time and a broadest range of haptic sensations available in the smartphone market. As a result, the haptic effects are crisp, precise and very realistic. We are thrilled to see the adoption of our HD haptics into the smartphone form factor and continue to work with OEMs to create high quality haptic experiences. During the quarter we're also pleased to see the previously announced Samsung Galaxy S III beginning shipping internationally. Samsung's flagship smartphone uses our TouchSense 3000 software and a module from our Integrator product called Reverb which monitors the audio and applications and turns them into haptic effects in real time automatically adding haptics to games and applications. The feature can be turned on and off at the application level via the device settings giving consumers great flexibility and customization options through Immersion software. In its first two months on the market, the Samsung Galaxy S III has shipped over 10 million units marking the largest deployment of our Reverb technology today. Samsung's inclusion of this feature underscores the demand for and interest in more engaging mobile content that is haptic enabled and we're thrilled to have the visibility of haptics raised with such a high profile device. On that note, we continue to see growing momentum for haptic enabled content with new titles from some top tier application developers. Our relationship with Rockstar Games continues with the recent launch of Max Payne Mobile with Immersion Haptics. This comes on the heels of the launch earlier in the year of Grand Theft Auto 3. In addition, Sega of America launched both the Sonic CD and Sonic the Hedgehog 4 titles on the Android market this quarter. It is encouraging to see developers who have integrated haptics into their mobile games using our haptic SDK return to the market with new haptic enabled titles based on the positive response they have received from consumers. We believe this enthusiasm will drive additional developers to create new games featuring compelling haptic effects such as Jelly Flap from Concrete Games and World of Goo from 2D Boy both of which launched during the quarter. As mobile gaming continues to gain traction on the market, we're excited to see one of our partners in the console gaming space PowerA launch a peripheral for the mobile markets. The Moga device is a mobile peripheral that houses your mobile phone. It's shaped like a gaming control and brings improved gaming controls to the mobile platform as well as the rumble feature powered by Immersion that gamers enjoy in their home consoles. During the quarter, Immersion participated in a number of mobile industry events. In May, we attended the CTIA Conference in New Orleans. There we partnered with AT&T to host the developer event and demonstrated haptic apps like Sonic CD and Max Payne as well as the new version of our Reverb technology which uses improved algorithms to translate audio into haptic effects from music, movies and other multimedia content. All-in-all our exhibit showed how haptics can create a more cinematic mobile entertainment experience which is something we continue to evolve and develop through advanced prototypes and discussions with possible new partners. We also hosted a meeting space for customers and participated in a speaking panel at the Mobile Asia Expo in Shanghai. We're encouraged by the level of excitement we're seeing in the China market for haptic enabled mobile games and for Immersion TouchSense solutions. This includes interest for haptics from both Immersion and our partners like TI and (inaudible) who offer solutions in the China market. As we announced during the quarter, TI has released two new apps to streamline the process for mobile OEMs to incorporate haptics into their devices. The DRV 2665 is the first integrated amplifier for piezo modules that is compliant with our TouchSense 5000 software for HD haptics. While the DRV 2603 helps provide optimal performance for devices using Immersion's TouchSense 3000 software with resonant actuators. Both of these products showed TI's commitment to Immersion and innovations for the haptic market and we're excited to continue our partnership with TI to bring improved solutions to mobile dedicated manufactures. Finally, at the end of June, we were pleased to be invited by Google to participate in the developer sandbox at Google IO. Google IO is Google's own conference that they use as a platform to launch new products and software and to highlight innovators in their ecosystem. Participation in the event is on an invitation only basis. To be selected as one of the few companies to demonstrate our technology, Android pavilion was great validation that haptic technology is providing a distinctive advantage developers on the Android platform. At the show we unveiled a new haptic SDK which improves upon our library of haptic effects and also offers developers new flexibility to incorporate haptic effects into their applications by extending support for native applications beyond Java to also include C, C++ and C# interface for Unity3D. With this support developers will now be able to incorporate haptics into HTML file allowing them to bring advance haptic technology to an entirely new category of apps. We will continue to improve the tools we make available to the developer community to support the broad range of mobile content that can be enhanced through haptics. Moving to the automotive market as I updated you last quarter we continue interest in and traction for haptics as a way to provide a safer and more intuitive user interface for today’s automotive control systems. We announced during the quarter that haptic rotary dial for their 2013 flagship car the K9 which is currently available in Korea. This opportunity was made possible through our partner Daesung and we continue to work directly with automotive manufactures and system integrates to incorporate haptics into automobiles in new and compelling ways. We are also excited about the launch of the Cadillac Q, haptic enabled touch-screen infotainment system which is now available in the Cadillac XTS. Moving on to a discussion of our efforts to monetize basic haptics, haptics has enjoyed widespread adoption in the mobile marketplace and we have licensed 100s of 1 millions of phones that are haptically enabled and authorized to include Immersion Technology. In addition though, we believe that today there are more than 200 million unlicensed phones in the marketplace that include basic haptics and that infringe our IP and this number could rise to 300 million or more by the end of 2012. Clearly the monetization of basic haptics in the mobile market represents an increasing yet unrealized opportunity for Immersion that where we to receive our appropriate return on the use of our haptics technology would constitute a very healthy, fast growing business. While our pending patent litigation is designed not only to address prior infringing sales of basic haptics but also to enable us to participate in this dramatic growth opportunity moving forward through incremental royalties. Our near term growth has been impacted by the current wide spread violation of our intellectual property rights. Based on our current outlook reflecting both the impact of this ongoing, on-license activity as well as the additional upside of potential basic haptics licensing revenue we could receive this year. We are expanding our 2012 revenue guidance to a range of 32 million to 38 million. In determining this range, we have made certain assumptions based on our existing business, plus for the high end of our range potential revenue from the licensing of our basic haptics intellectual property to new and/or existing customers. This potential 2012 basic haptics revenue includes payments for prior shipments of unlicensed and infringing basic haptics products. Our current and ongoing settlement and licensing discussions lead us to believe that prior to December 31, 2012 it is possible we may conclude one or more basic haptics agreements that would lead to our achieving the higher end of our guidance. Due to our ongoing efforts to manage our expense run-rate we continue to expect to achieve positive adjusted EBITDA for the year. In closing, while we are not seeing the growth trajectory we would have liked during the litigation phase, we ultimately expect to monetize the increasingly large revenue opportunity presented by the unlicensed use of Immersion haptic technology in the mobile marketplace. We remain committed to prudently managing our operations during this period. We believe more strongly than ever that the value of haptics enabled interfaces and content is becoming more and more integral to the user experience and we continue to innovate and develop new solutions and IP to further expand the opportunities in front of us. As evidenced by our recent stock buyback, we are extremely confident in our position at the center of the haptics ecosystem. With that said we will now open up the call to your questions. Lorenzo?
Operator: (Operator Instructions). The first question today is from the line of Charlie Anderson with Dougherty & Company. Please go ahead.
Charlie Anderson - Dougherty & Company: I was wondering if I can just unpack the guidance how much of it is the potential for the settlements, the license deals for basic haptics towards the end of the year and how much is the ongoing business?
Paul Norris: Sure the 32 million would include no revenue from basic haptics; it would be our base business, that 32 million would be the low end of the base business. We would hope and are working hard to generate more revenue than that for our base business. The balance them from our base business to the higher end of the range would include some amount for basic haptics.
Charlie Anderson - Dougherty & Company: But will you 32 to 34 the base business, is that the right way to think about it but you had sort of $2 million range before.
Paul Norris: We haven’t been that specific in terms of the guidance, we feel at the low end 32 is the right number and then including upside to the base business plus basic haptics revenue based on some certain assumptions we think 38 at the upper end would be the right range.
Charlie Anderson - Dougherty & Company: And you obviously got something to give you comfort to put it in the guidance, I wonder if you can just give us a more color on that, where is that sort of comfort level coming from?
Vic Viegas: I think that the strategic importance of haptics and the need for OEMs to continue to innovate and differentiate their products. When you compare the importance of haptics plus the strength of the case and the cost to defend, I think those are good incentives for defendants to settle or want to settle. We are licensing company and so obviously our goal is to license our IP and solutions to these companies on fair terms. So we have met a number of times with a number of different companies based on those discussions and I believe further discussions that we will continue to have. I think I am optimistic that we can find some common ground and are into licensing agreements that would lead us to success and growth in the revenue stream.
Charlie Anderson - Dougherty & Company: And are there sort of sign posts I guess you will in the case in terms of timing that would sort of cause the agreements to come at in certain quarters or certain months based on the timeline of the case.
Vic Viegas: Well I think we are at the phase where we are continuing discovery, we have received a lot of materials and information, we are gearing up for depositions, experts are engaged and evaluating and examining a lot of this material. So we have a lot of information at our disposal, we feel good about the case we feel as good now as we did when we filed the case and so at this stage we have learned a lot. I am sure over the next few quarters we will learn even more. Just as to give you an update, I believe the current schedule calls for a hearing before the judge in the first March – April of next year and then an initial determination in June of 2013 and target date for completion in October of 2013.
Paul Norris: And Charlie there are also some court designated time for the parties specifically to sit down and talk about getting the other or whether a settlement is something that can be worked out and so that’s a process which is actually active right now.
Operator: Thank you. (Operator Instructions). Our next question comes from the line of Jeff Schreiner with Capstone Investments. Please go ahead.
Jeff Schreiner - Capstone Investments: Just one little quick, I am wondering about the guidance, why the need, I wasn’t able to listen to all of your comments but why the need to extent it from 32 to 38, it was 34 to 36 and maybe moving it up would be positive but moving it so wide, I am trying to understand maybe the puts and takes there as to while you are seeing.
Vic Viegas: Maybe speaking to the basic business, when you look at the most recent quarter, our gaming revenue was lower by about a 1.5 million from what we anticipated. So, we saw some weakness there, it was down from Q2 of last year and obviously was down from our seasonally high first quarter but we are seeing some softness in the gaming business and we attribute that to the economy and the overall movement of gaming from console devices to mobile devices. On the mobility side, we also have seen revenue come in about a 0.5 million lower than we had anticipated and that has to do with some uneven performance by some were licenses, some are doing well and others are not doing quite as well. And so when you couple the weakness in the base business to the degree of about a $1 million I felt that the base business could come in at the low end at the 32 which is why we decided to widen the range if you will to 32. In terms of the 38, as I said before the optimism around our discussions and the opportunity to capitalize on this rapidly growing unlicensed set of units to the extent we can monetize that this year than we would be able to achieve the higher end of the range.
Operator: (Operator Instructions). And at this time we have no further questions in the queue. I would like to pass the call back to management for closing remarks.
Vic Viegas: Okay. Thank you everyone for being on the call with us today. We look forward to updating you again on our next quarterly call. Good afternoon. Thank you.
Operator: Ladies and gentlemen this does conclude the Immersion Corporation second quarter 2012 earnings conference call. We would like to thank you for your participation today and you may now disconnect.